Operator: Hello, and welcome to the KORE Group Holdings’ Fourth Quarter 2023 Earnings Call and Webcast. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to David Freund, Manager, M&A. Please go ahead, David.
David Freund: Thank you, operator. On today's call, we will refer to the fourth quarter 2023 earnings presentation, which will be helpful to follow along with as well as the press release filed this morning that details the company's fourth quarter 2023 results. Both of these can be found on our Investor Relations page at ir.korewireless.com. Finally, a recording of the call will be available in the Investors section of the company's website later today. The company encourages you to review the safe harbor statement, risk factors and other disclaimers contained on this slide and today's press release as well as in the company's filings with the Securities and Exchange Commission, which identify specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that we'll be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today's earnings release and presentation. I will now turn the call over to Romil Bahl, the company's President and Chief Executive Officer.
Romil Bahl: Thank you, David. Good morning, everyone. Thank you for joining us for our fourth quarter and full year 2023 earnings call. With me is Paul Holtz, KORE's Chief Financial Officer. As always, I'll start with a brief overview of the key events and announcements for the fourth quarter. Paul will then review our financial results, and then we will review our sales pipeline, key wins and a summary of how we view the year ahead. We will finish with a Q&A session. Slide 4, presents some key announcements from the fourth quarter. First, we launched a pioneering eSIM-powered medical alert device in collaboration with Medical Guardian. This device is designed to facilitate active aging as defined by the World Health Organization. This revolutionary technology overcomes the challenges of limited carrier flexibility and coverage, enabling network switching to optimize connectivity across different regions and operational phases and enabling optimal 24/7 connectivity. This medical alert device leverages KORE's industry-leading connectivity services. KORE's eSIM optimizes opportunities for health participation and security for aging adults, enabling end users to age with dignity. This innovation shows how revolutionary IoT is in addressing some of society's most daunting obstacles, in this case, an aging global population and how IoT can enable a better world. IoT for good, as our purpose statement as here at KORE. Second, we continue to receive recognition from numerous industry analysts and publications for our best-in-class connectivity products. For instance, Gartner recognized KORE as a Managed IoT Connectivity Services Worldwide Leader for the fifth consecutive year. KORE's CaaS offerings, including Super SIM also received the 2023 IoT Excellence Award from TMC and Crossfire Media. This recognition cements our unwavering reputation for understanding our customers' needs and creating cutting-edge solutions that simplify the complexities of IoT and empower our customers to achieve their goals. The Gartner Magic Quadrant leadership is especially encouraging since we improved our position in the Leaders Quadrant, even as large, well-known carriers and competitors dropped out. And also on the vision and strategy dimension KORE is now firmly among the top 3 providers globally. As evidence of our industry-leading strategy and specifically with respect to our investments in pre-configured solutions, in the first quarter of 2024, we landed our first major Connected Health Telemetry Solution or CHTS, pre-configured solution win. This $26 million TCV achievement will have KORE supporting global home respiratory therapy to over 65,000 patients. The solution involves managing the capture, secure transmission and delivery of home ventilator and oxygen concentrator data telemetry to the patient's care team. This customer will utilize KORE's CHTS gateway, device management and configuration cloud platform and the CHTS temporary data repository cloud service. The customer will map their existing patient engagement and support workflows to KORE's CHTS cloud to enable the care delivery teams to configure, install and monitor their home respiratory therapy for thousands of ventilators and oxygen concentrators. This win demonstrates KORE's ability to streamline the IoT deployment of a complex medical device with our integrated secure and regulatorily compliant cellular connectivity and data routing infrastructure. These capabilities enable continuous healthcare monitoring from the comfort of patients' homes significantly improving patient outcomes and comfort. Now let's look at our fourth quarter financial results on Slide 5. KORE's fourth quarter revenue of $72.4 million increased 16% year-over-year driven by an acceleration in high-margin IoT connectivity, which was up 27% year-over-year. A decline in low-margin IoT Solutions revenue partially offset this growth in IoT connectivity. While double-digit topline growth in Q4 is impressive, we should note that these results were below our expectations to additional unexpected customer order deferrals in Q4, including those from our largest customer. While these deferrals impacted both IoT connectivity and IoT solutions, solutions experienced a greater impact due to customer managing year-end inventory levels and further delays in remote patient monitoring and clinical drug trial deployments. Reiterating what we said last quarter, these orders and customers have not been lost. We fully expect to continue to serve these customers in 2024 and beyond. That said, during our 2024 business planning process, and partially in response to the lumpy characteristics of hardware revenue in our maturing IoT Solutions business line, we have decided as a company to reduce our exposure to low-margin hardware revenue. Moving forward, we will only accept hardware orders that are essential to winning a customer contract. This decision resulted in a reduction in our TCV pipeline and obviously, a lower projection of IoT Solutions revenue in 2024. However, this marginal short-term headwind is more than offset by the increased predictability, visibility and profitability improvement that shrinking our reliance on hardware will deliver in 2024 and into the future. Further, we expect growing momentum in KORE's IoT connectivity business to more than offset any onetime headwinds resulting from this decision. On this point, before handing the call to Paul to cover the financials in more detail, I wanted to touch on our outlook for 2024. At a high level, the 2G/3G sunsets and the worst of macro uncertainty behind us, we expect a reacceleration in our high-margin IoT connectivity business to be KORE's primary growth driver in 2024. This growth will offset a decline in low-margin IoT Solutions revenue and drive year-over-year revenue growth and more substantially exciting double-digit growth in adjusted EBITDA. Overall, we expect 2024 revenue to be between $300 million and $305 million, with adjusted EBITDA between $64 million and $66 million. I will provide more color on our 2024 outlook later in the call. But with that said, Paul, over to you.
Paul Holtz: Thank you, Romil, and good morning, everyone. Turning to our results on Slide 6. As Romil highlighted, fourth quarter revenue increased 16% year-over-year to $72.4 million compared to $62.4 million in the fourth quarter of 2022. By segment, IoT connectivity revenue of $55.3 million, which includes the Twilio IoT acquisition, increased 27% year-over-year and represented 76% of fourth quarter revenue. Organically, IoT Connectivity grew in the mid-single digits year-over-year. This growth is despite continued delays in planned upgrades at some customers in the second half of 2023 that have been pushed to the first half of 2024. IoT Solutions revenue declined 10% year-over-year to $17.1 million or 24% of fourth quarter revenue. As Romil mentioned, the decline in IoT Solutions reflects customer deferrals, including from KORE's top customers. To show the magnitude of these deferrals, no orders from our top customer were received in the quarter as they continue to manage their inventory from their large LTE transition project. Total gross margin in Q4 2023 was 52.6%, a decline of 150 basis points compared to the fourth quarter of 2022. By segment, IoT Connectivity gross margin was down 650 basis points year-over-year to 58.6% reflecting a full quarter inclusion of the lower-margin Twilio IoT revenue. Additional year-end revenue provisions were also made in Q4 with some smaller customers struggling to make on-time payments. The IoT Solutions margin was up 450 basis points to 33.2%, reflecting the lower mix of hardware versus services revenue in the quarter. Total connections at the end of the fourth quarter were 18.5 million, a decline of over 400,000 from the third quarter of 2023 and an increase of 3.5 million year-over-year. The decline in quarter-over-quarter SIM count reflects the deactivation of low-revenue SIMs from a single CaaS customer that is transitioning their base to be managed in-house. KORE and the customer I've been working together during this transition as we inform them in 2023 that the CaaS business was being deemphasized by the company going forward. With the fourth quarter also being the year-end for many of our customers, some more active in cleaning up their zero usage SIMs prior to year-end to save costs heading into 2024. These deactivations will not have a material effect on IoT connectivity in 2024, again, due to their very, very low ARPU. Dollar-based net expansion rate or DBNER for the 12 months ended December 31, 2023, was 96% compared to 92% in the prior year. As a reminder, DBNER is like same-store sales as it measures the growth of existing customers in the trailing 12 months compared to the same customer cohort in the year ago period. This means that customers gain from the Twilio IoT acquisition in June were excluded from the calculation. Our 2023 DBNER was impacted by our largest customers LTE transition project, which occurred from June 2021 to June 2022 and significantly benefited our topline performance. As a reminder, we saw revenue from our top customer doubled during this period. Excluding our largest customer, DBNER for the year would be 101% compared to 103% in 2022. Turning to Slide 7. Operating expenses, including depreciation and amortization in the fourth quarter were $47.7 million, a decrease of $50.4 million compared to Q4 2022. The decline in our operating expenses reflect the noncash goodwill impairment charge in Q4 2022 of $58.1 million, which did not exist in the current quarter. This decline was offset by increases in depreciation and amortization, incremental operating expenses from the Twilio IoT acquisition and onetime professional service fees from our debt refinancing completed in November. Fourth quarter interest expenses, including amortization of deferred financing fees, increased year-over-year to approximately $12 million versus $9.7 million in the fourth quarter of 2022. This increase is due to the higher borrowing costs on our prior senior secured term loan. As a reminder, we refinanced our previous $300 million term loan in the fourth quarter with a new $185 million term loan and a $150 million preferred stock placement. We also incurred a $2.6 million loss on the extinguishment of our previous debt. Net loss in the fourth quarter was $33.7 million compared to $69.6 million in the prior year. The $35.9 million decline in the net loss year-over-year was mainly due to the already mentioned noncash goodwill impairment charge in Q4 2022 of $58.1 million. This decline was offset by year-over-year increases or onetime costs relating to the refinancing of our long-term debt, increase in interest expense and incremental costs associated with the Twilio IoT acquisition. Adjusted EBITDA in the fourth quarter was $13.8 million, a decline of $1.9 million or approximately 12% compared to last year. Our adjusted EBITDA margin in the current quarter was 19.1%, down 610 basis points compared to the same period in the prior year. The EBITDA margin decrease is mainly due to the majority of incremental revenue year-over-year coming from the Twilio IoT acquisition, which, as we previously disclosed, would be at negative EBITDA margins for most of 2023. It should also be noted that our adjusted EBITDA or net loss in the fourth quarter does not include approximately $4 million in funds received as a CARES Act Employee Retention Credit as the company has taken a conservative approach not to yet recognize the benefit from a U.S. GAAP perspective. Moving to cash flow. Cash used in operations for the 3 months ending December 31, 2023, was approximately $10 million. This amount increased year-over-year mainly due to the additional onetime expenses paid related to our debt refinancing. At the end of the fourth quarter, cash and cash equivalents were $27.1 million compared to $34.7 million as of December 31, 2022. Turning to our full year 2023 results. Total revenue of $27.6 million, increased 3% from 2022. IoT connectivity revenue increased 15% to $202.3 million, more than offsetting the 25% decline in IoT Solutions revenue of $74.3 million. The full year gross margin of 54% was up 210 basis points from 2022. This was driven by higher mix of connectivity revenue and a 250 basis point improvement in the full year solutions gross margin to 31%. These factors were partially offset by a 180 basis point decline in IoT Connectivity gross margins to 62.4%. Adjusted EBITDA for the year was $55.6 million resulting in an adjusted EBITDA margin of 20.1%. This compared to $62.8 million and 23.4% in 2022. The full year 2023 net loss of $167 million, which includes goodwill impairment charges, increased by $60.8 million relative to 2022. Excluding the goodwill impairment charge of $78.3 million in 2023 and $58.1 million in 2022, our net loss increased by $40.6 million to $88.7 million. Our annual net loss increased due to higher interest rate expenses, increased costs due to the Twilio IoT acquisition, a change in the fair value of our warrants and the onetime costs associated with our debt refinancing. With that, I'll pass it back to you, Romil.
Romil Bahl: Thanks, Paul. Slide 8 presents a snapshot of our global sales pipeline as of December 31, 2023. As I mentioned, we have decided to reduce our reliance on low-margin hardware revenue. This decision has obviously reduced our funnel in total size as has the relatively large number of deals that were closed in Q4, both closed won and closed lost, and a larger than typical year-end cleaning out of the funnel led by our new CRO, Jason Dietrich, who joined KORE in the middle of last year. Importantly, the quality of our pipeline has improved due to these actions. Our sales pipeline now includes over 1,600 opportunities with an estimated potential TCV of approximately $545 million. In the fourth quarter, we generated an incremental $28 million of closed won TCV, bringing the year-to-date total to $115 million as we delivered our fifth consecutive year of TCV growth. For those who may be new to our story, the majority of sold TCV is recognized as revenue over 4 years. And it is important to note that the closed TCV figure is aggregated across all of our services, which have different durations of revenue recognition. Slide 9 shows our customer wins in the fourth quarter. These wins include, number one, KORE is growing wallet share with a leading provider of high-performance software and solutions for the real estate industry. This customer is adding 15,000 units to its multi- and single-family home portfolio and reaffirmed its commitment to KORE by signing new contracts representing approximately $2 million of incremental TCV. KORE's one API approach and top-tier customer support helped give the customer confidence to scale its IoT deployments. Two, we had a cross-sell win with one of the largest privately held homebuilders in the United States. This customer was overpaying for some substandard connectivity services with next to no customer support. KORE's connectivity products opened with the conversation and the company optimized the customer's entire connectivity system. Then, after demonstrating that KORE's high-bandwidth pre-configured solutions could enhance operations, quicker time to market and improve the end customer experience, KORE grew our wallet share with this customer. Three, a global fast-growing specialized management network chose KORE for its primary and favorable solutions in the U.S. There are significant opportunities for European expansion with this customer as well as further avenues for growth from new product introductions. Finally, a provider of vehicle and asset tracking IoT solutions with operations spanning 3 continents chose KORE OmniSIM as its connectivity solution for its new products. This customer's new products will contain buy here, pay here features and target the subprime vehicle loan market. This contract is worth an estimated $1.6 million in TCV. As you can see, our sales and growth momentum continues to build. Our independent multi-multi-multi-offering is resonating with the market and our connectivity position has never been stronger. KORE's connectivity products, including OmniSIM and Super SIM are uniquely suited to our customers' needs and simplify the complexities of IoT deployments. Our products provide customers with a single unified solution that enhances our customers' operational flexibility by ensuring cost-effective uninterrupted network across borders. These are critical factors for success for individual customer deployments and the IoT ecosystem as a whole. Combined KORE's strong foundation with stabilizing ARPUs and 2024 will be a great year for organic connectivity growth. So what does this mean? What is the end result? As I said earlier, we expect revenue in the range of $300 million to $305 million with adjusted EBITDA between $64 million and $66 million in 2024. To help contextualize our guidance, let me walk you through the chart on Slide 10. The first thing to note is that KORE's 2023 adjusted EBITDA adjusts out onetime transformation investments needed to establish KORE as a leader in IoT and capitalize on the explosive growth of connected devices. 2023 was the last year of these transformational investments, and they will not occur in 2024. After taking these onetime expenses into account, our 2023 adjusted EBITDA is approximately $49 million, meaning that we expect 2024 EBITDA to grow approximately 33% year-over-year on an apples-to-apples comparison basis. As a reminder, these investments involved doubling down on KORE's core IoT connectivity business, launching industry-specific business lines and focusing on eSIM leadership. We have been adjusting out these onetime transformation expenses to show a clearer picture of KORE's financial health and operating performance. Given the volatile market backdrop in 2023, it is worth stepping back and talking about what gives us confidence in this outlook. First, 2024 revenue growth will be driven by high visibility, high-margin IoT connectivity, which is reaccelerating following the end of the 2G/3G sunsets and customer deferrals, a rebound in KORE's key end markets and stabilizing ARPUs. This high-quality revenue growth is offsetting a decline in lumpy and low-margin hardware revenue, which gives us better visibility into our topline performance throughout the year and increases our profitability overall due to IoT connectivity's superior margin profile relative to solutions. Secondly, we streamlined our operating costs and improved our economies of scale as evidenced by our start in 2024, and we expect this performance to gain momentum throughout the year. But before I continue to talk about this start to 2024, I should specify that we will not be providing ongoing quarterly guidance. That said, given that we are in April and Q1 is over, we feel confident in saying that our adjusted EBITDA for Q1 2024 will be approximately $1.5 million above Q1 2023. This would mean that first quarter adjusted EBITDA would be higher than every single quarter of 2023 despite Q1 historically being KORE's highest expense quarter of the year. This strong start to 2024 combined with our refined operating model and connectivity-led growth gives us confidence in our 2024 outlook and demonstrates our solid operating leverage. Slide 11 is our last prepared slide and summarizes the key points of our prepared remarks. First, KORE's 2023 revenue growth will be driven by IoT connectivity, which will be supported by stable ARPUs and connected device growth from existing customers. We are conservatively planning for IoT Solutions to be down year-over-year, reflecting our decision to deemphasize low-quality revenue. Launching our next-generation eSIM product will only accelerate our momentum. Our next-generation products present customers with best-in-class global IoT connectivity with compliant local access, seamless digital consumption and white glove customer service. Secondly, in addition to these exciting product developments, KORE delivered closed won TCV of $115 million in 2023 while identifying several improvements in our direct and indirect sales efforts, which we expect to bear fruit in 2024. On the direct sales side of things, we hired seasoned sales executives with many years of experience who are becoming trusted partners and advisers with their customers. At the same time, we have developed relationships with GCP, that's Google, and other major companies that give core distribution to an extensive range of companies across industries, sizes and geographies. This helps KORE meet customers where they are, enabling successful IoT deployments and advancing the IoT ecosystem. Taking a more holistic view, we are cautiously optimistic that 2023 was the high watermark for macroeconomic uncertainty among our most prominent end markets. While customers remain cost focused, the inventory correction at our customers is largely behind us, and we have de-risked our exposure to lumpy hardware revenue and customer inventories. Crucially, as KORE grows, we will remain focused on profitability and operating efficiency and will leverage the economies of scale that result from IoT connectivity growth. As a result, we have a clear line of sight into exciting double-digit adjusted EBITDA growth in 2024, driven by increased sales and greater profitability. They are happy to revisit any of these key points during the Q&A. But before turning the call over to the operator, I want to thank KORE's IoTiers around the world for their tremendous work this past year. I am excited about where we are going this year and in the future. Our connectivity portfolio, financial positioning and sales motion have never been stronger, and we are well placed to capture the opportunity that the decade of IoT brings. With that, let's start the Q&A.
Operator: [Operator Instructions] Today's first question is coming from Scott Searle of Roth MKM.
Scott Searle: Romil, maybe just to dive in on the 2024 outlook. It looks like -- it sounds like you're looking for a double-digit growth on the connectivity side of the equation. I'm wondering if you could give us a little bit of color as well as connected units and how you're thinking about ARPUs that you were bottoming out. It seems like there was some low end end-of-life connections that are now gone. So should we start to see an upward trajectory? And as an extension of that, looking at that TCV pipeline, I'm wondering if you could give us an idea of what the annual recurring revenue component looks like? I think back in the napkin math would say something like 15% or so of that funnel would be ARR. I'm just trying to get my hands around that in the TCV wins that you've got in 2023 in the fourth quarter.
Romil Bahl: Okay. Thanks, Scott. I'm going to struggle to remember all of those. So let's just come back and remind me as we go. Yes. Look, the fundamental thing is what you nailed absolutely correctly at the front end of your questions, which is with 2G, 3G behind us, in a simple [PQ] business, price times volume type business, when you had both forced churn of devices coming off 2G and 3G network and our prudent clients that were averaging about 20% a year for every 1 of the first 4 full years, I was here. Yes, it's tough to do that kind of business, right? When I joined the business, it was in the neighborhood of 6 billion SIMs. We've more than tripled that, and we obviously haven't tripled revenue. So yes, a lot of that was given back to the fundamental price differences of LTE, 4G, 5G type environment over 2G, 3G. When that goes away, and as the volume growth gets back to, I'll say, pre-COVID type levels, anywhere close to the 25%, 26% CAGR, we've grown volume at, connectivity becomes a very exciting business, and we're certainly starting to show that here in 2024, which will actually be 20% approximately topline growth. But not all of that is organic. And as I said, we're still growing, right, our volume growth is still going back. On the P side of your equation, we have seen stabilization, which we talked about last year after a sort of low point of ARPUs -- average ARPUs for a quarter, I think it was Q3 [indiscernible] me correctly, sort of $0.95. We saw stabilization to slight increase last year up to sort of the $0.98, $0.99 level at the end of the year and actually Q1 is coming in at [indiscernible]. That may not sound like a lot, but to us, it's like [indiscernible], right? It's like -- this is what we've been saying what happened between the higher bandwidth that [indiscernible] and just right, the stopping of this notion of high-priced ARPU devices coming off and low-priced ARPU devices coming on. So that's really the fundamental driver is IoT connectivity in terms of the outlook in the confidence. And yes, I would say also that our high-bandwidth products and pre-configured solutions set has gotten off to a really great start. Let me take a pause there, see if that makes sense. And then I think you asked a question about TCV and I forget what else, Scott.
Scott Searle: Yes, that was perfect. Nice to hear the increase in the ARPU. But the -- just to translate the TCV then into what an ARR opportunity looks like. So the annual recurring revenue on and...
Romil Bahl: Yes. So look, so the first thing I'll tell you is that since sort of the middle of last year, Q3, when Paul and I spent a bunch of time with our teams analyzing what was going on with the deferrals and Scott, is obviously a very good IoT analyst and you know all the inventory and modules and all these problems were out there. People are using up those inventories whether they stocked up during COVID during the supply chain constraints. So there were deferrals across the board, and we were impacted as well. And so we said, what? It just doesn't make a lot of sense to have so much volatility forced, if you will, into our numbers because we're not really well on business. We are an ARR business. And so as we've increased our focus on connectivity, in Q4, we were near 87% recurring revenue, right? Just connectivity at the budget level this year, Scott, in 2024 [indiscernible] straight will be almost between 78% and 80% is how it's budgeted with these solutions. So your recurring revenue starts with a base of 78%, 80%, and then you add all the [indiscernible] we've had from our solutions customers. So if anything, that 87% should be stable and maybe even increasing, which is a really cool part of our business model.
Scott Searle: Great. Perfect. And last one, if I could. The respiratory telemetry win is very interesting. You guys have historically been very strong, I think, in cardiac telemetry. How big is the respiratory telemetry market? And are there some bigger opportunities behind us as we look into current year and beyond?
Romil Bahl: Yes. No, we are serious about that win. And by the way, we've had a really good reputation with our customer over a long time and this was finally where it started to come together. I mean my head of health would say, he's been chasing this opportunity for several years, not just 1 or 2 the enterprise-type sales cycle. And obviously, when they went through their sort of buy versus build decision, our decades now worth of experience and engagement and the IoT managed services model were key differentiator, the reason why we won that deal. Now to the size of the market specific question, respiratory therapies are, in general, today smaller still than cardiac rhythm monitor, right, which is, of course, dominated by the big 3. But it's growing significantly faster, Scott. And so there's actually -- and in fact, last night, I was meeting with our European connected health sales team and they're looking at about 50 opportunities in the connected health clinical trial space are very exciting. And a good chunk of those about, I'd say about 20% of those TCV dollars are actually focused around this respiratory area. It is -- there's one opportunity with a phenomenal 5 million customer number. Now, how long does that take us to actually when do we win and all that? I'm not committing that, right? All I'm saying is it's an exciting little segment of connected health, not total and growing fast.
Operator: Thank you. The next question is coming from Michael Latimore of Northland Capital Markets.
Michael Latimore: Yes, Romil, on the decision to focus more on higher-end hardware reduce the lower margin hardware business. Can you just elaborate on that a little bit? Historically, I don't know what percent of the pipeline has been this lower-margin hardware? Is it in different verticals? Just maybe just elaborate a little bit more on that.
Romil Bahl: Yes. No, look, I mean -- so let me just start with some basics that you are well familiar with, Mike. And then Paul may want to jump in on the end to facilitate and clean up my story here, if I miss anything. But -- so the first thing, of course, is we're not a manufacturing shop. We're not a device or hardware manufacturer. And so we've only really resold other parties devices if it was simplifying the complexities for the customer, right? That's our pipeline, simplifying the complexity of IoT solutions. So it was just easier for us to get the container of whatever was coming from Taiwan or wherever and then configure that device and get them out into the field right with our pick-pack configureship type service as a management services and then the reverse supply chain type services, and we're happy to do it, right? Now on the hardware piece standalone, you obviously didn't make particularly good margins. In some cases, it was embarrassing with low single-digit margins. And -- but we did it again in the context of simplifying it for the customer for winning everything else. We're having connectivity in every device that went out there and all the other good reasons, IoT solutions exist as a strategy for us, right? So what we then found was since it was -- it's relatively easy dollars to add up, and it tends to be front-ended in the 3, 5-year type contract cycles. So meaning hardware revenue, right? That in some cases, I mean it was probably between 25% and 30% of our funnel, actually, right? When we looked at it hard towards the end of Q3 last year and we said, look, this is starting to be too much. It's introducing volatility and lumpiness into a business that's solid and sort of made to be public, recurring in nature, 85%, 87% recurring in nature, as I said earlier to Scott's question. And so we -- and by the way, at the end of all of that, we get 5s and 7s and 10s of percent margin on that business. Why are we doing this? So again, we'll do it if the customer insists. We'll do it when a customer says, "I don't want to spend all this CapEx. I want to let you guys buy it for us and OpEx" that to me, over 36 months or 24 months or whatever. In those cases, of course, we'll continue to do it, but we just won't -- we won't let it be such a drag on our overall margins. By the way, IoT solutions is already showing a real uptick. Remember how IoT Solutions was even as low as 27%, 28%, 30% when it was very hardware-driven. We're already kind of creeping into the mid-30s. And as I've long said, our goal is to get to 40%. And there were 2 or 3 drivers of that including pre-configured solutions, which are, by definition, higher margin and including hardware becoming a smaller portion of our total revenue base. So those are the set of reasons, but let me just give Paul the opportunity to add anything.
Paul Holtz : Yes. The only thing I would add, Mike, was like -- so during the full fiscal year for IoT Solutions, we were $92 million-ish. And then we, in 2022, dropping down to about $74 million. So you have a, say, roughly $20 million drop this year. Now some of that, as we talked about, was from the deferrals and so forth. But as we go into next year and as we indicated that we're forecasting that solutions will decline more. That is because we're taking out this lower-margin business. So you're talking about $20 million to $25 million of lower margin hardware that we're going to let right now currently let go or not forecasting like Romil said, if we need to take it and the customer is insisting, we'll do it. But from a forecast perspective and guidance perspective, we're assuming it's not there.
Michael Latimore: And then I guess just on the macro here. Can you talk just -- I mean, you guys have a pretty diverse view in wide and diverse view into the IoT market. I mean what's your thought on the IoT market just kind of broadly this year? Is it accelerating? Is it stable? Declining a little bit? And any kind of big picture stuff that would be helpful.
Romil Bahl: Yes. No, I appreciate the big picture question. We've never been sort of more bullish on this market growing than we are right around now. We've long sort of said that the trends were all in our favor, right? The world wants more connected devices, wants more data, we can hype AI all we want, but AI without data sort of doesn't do much, right? The first step of all of this AI stuff working out is guys like us connecting devices and getting data back to you so you can apply your algorithms, right? So that was a big trend. All of this edge, edge compute, edge to cloud type movement is a helpful trend. Obviously, higher bandwidth thing as 5G matures, one of my key talking points at the Embedded World Conference in Nuremberg yesterday was about the convergence that's coming, including with satellite. And then, of course, the closest to our hearts of KORE is eSIM, right? And depending on who you believe, somewhere between 3 billion and 5 billion eSIM get shipped between now and the end of the decade, right? And we certainly think we have the leading proposition there. OmniSIM of it's downloadable characteristics, Super SIM -- from the old Twilio Super SIM, which is probably one of the most stable dependable, reliable products out there. And our next generation is going to combine the best of those 2. And if we can get sort of more than our share or if I could be greedy and say, well more than our share of that eSIM shipping that's going to go on as the world goes into more global deployment, takes regional POCs and says, "All right, let's go global." We've never been more bullish about sort of volume growth and our positioning at the end of the 5 years, the investments are positioning to take advantage of those trends.
Michael Latimore: Okay. Great. And then just other quick one. Should we assume the first quarter is sort of the low point of the year and you get some sequential growth from there? Or how should we think about the sort of pattern throughout the year?
Romil Bahl: Yes. I mean you're absolutely right. That's pretty much always our pattern. So it's a great question. We do fully expect Q1 EBITDA, even though it will be the largest quarter we've had in the last 5 or 6 to be our lowest. And that way, Mike, I mean just to make sure you notice that that's with no onetime costs be invested. It's our largest, right? A significant step-up in our profitability across the board. But we do expect the Q1 to be our lowest. I mean, obviously, all of our payroll expenses, taxes, that sort of thing start to go down. And of course, we anticipate growth from the topline. So if Q1 is going to be in that, call it, $75 million, $76 million range and hopefully close to 20% of that EBITDA, and you're getting closer, right? You're increasing that $75 million, $76 million topline going forward and your OpEx is actually going down, right? We expect that to increase. But Paul, would you add anything? Or did I steal all the thunder?
Paul Holtz: Yes. No, you got it.
Operator: The next question is coming from Meta Marshall of Morgan Stanley.
Mary Lenox: This is Mary on for Meta. I want to ask you about the deferrals. Do you have a sense of when those projects resume? And then what have been some of the hang ups to some of those drug trials?
Romil Bahl: Yes. Thanks, Mary, and our best to Meta, hopefully, we talk to her soon. But look, first of all, this is, as I was saying, I think in my response to Scott or Mike earlier even on this call, this has been phenomenon, right? I mean if you get [indiscernible], I know that's [indiscernible] just the line and some [indiscernible] business or really anybody out there, right? When there was a bit of panic around supply chain issues in 2022, for sure, people pile up inventory, our number one customer, our largest customer. But we were doing the math the other day about 5.5 years' worth of stuff in a year, right? So that's stuff that's sitting out there, whether that's healthcare devices, fleet devices, whatever devices they are, everything else that comes with it, the modules or so for has to be used from perspective for customers and keep order. And, by the way, introduce them a kind of risk-off environment in the market, more focused on expenses than ever. People watching their inventory levels at the end of the year on and on and on, and we actually saw sort of a reverse, right? The pendulum going all the way the other direction of people really fitting out their inventory before the orders. So the deferrals are most -- for the most part related to what this industry has seen and the inventory levels needed to be used up. I mean it's quite remarkable. I'll give you one example with our largest -- absolutely largest customer, we had a PL that we thought we were going to fill and deliver in Q3. And we pushed it back into Q4, and then we will have to push it back into Q1, right? I mean so the main thing is we can ship anything to our largest customer since about June last year. And that's sort of an extreme example. In other cases, people didn't send us the deal and said, "You know what, we're going to get our inventory levels down to the targets that our CFO, [indiscernible] CPO has set for us, we're just going to defer ordering." All of that will come back over the next few quarters as those customers get back to the business as usual with the new inventory levels, right? With their new target level. So that's sort of not worrying. The last part of what you asked, though, Mary, is sort of interesting is certainly in the healthcare space, the both of resources, the resources being reallocated things like pandemics and corporate those kind of situations. So the availability of those knowledgeable in these type resources to drive the digital transformation which is, right? IoT enabling clinical trials or read technology enabling clinical trials or turning data capture more generally, those resources just weren't there, right? Some clinical trials will be delayed because we didn't have enough resources, nurses and the like, to actually run the trial, right? So those things, again, the industry is addressing, will balance out over time and will pick up. None of these are worrying trends. I've been known to say that as we bring our hands in America, I have been watching the story now for 30 years, "Oh, my God, 10%, 15% of GDP is although my gosh, 20% is -- I think we've gone to 40% and 50%, right? And so all of this is going to come back and connected health was really the single best bet we've made outside of recent.
Operator: At this time, I'd like to turn the floor back over to Mr. Bahl for closing comments.
Romil Bahl: Outstanding. Well, I really want to say thank you to everyone for your interest attending our call here. We look forward to updating you with our first quarter results in what the next 5, 6 weeks. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.